Operator: Good day, everyone, and welcome to the Nucor Corporation Fourth Quarter of 2020 Earnings Conference Call. As a reminder, today's call is being recorded. Later, we will conduct a question-and-answer session and instructions will come at that time. Certain statements made during this conference call will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management's current expectations and information that is currently available. Although, Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about the risks and uncertainties relating to the forward-looking statements may be found in the Nucor's latest 10-K and subsequently filed 10-Qs, which are available on the SEC's and Nucor’s website. The forward-looking statements made in this conference call can speak only as of this date and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. Leon Topalian, President and Chief Executive Officer of Nucor Corporation. Please go ahead.
Leon Topalian: Good afternoon. And thank you for joining us for our fourth quarter earnings call. We hope everyone on the call was having a good start to the year and staying safe and healthy. The last 12 months have been incredibly challenging on so many different levels. The pandemic has impacted businesses and markets and taken a tremendous toll on so many that of cared for and lost loved ones during this time. The distractions we have faced as a nation and as a company are significant. Yet the Nucor team has never lost its way in delivering the safest year in our history. Let me repeat that again. 2020 was the safest year in the history of our company. I'm extremely grateful for the hard work, dedication, ownership of our nearly 27,000 team members who made this result possible. While there still is a great deal of work ahead of us in our journey to become the world safest steel company. I'm more convinced than ever that this team will accomplish our goal. To our Nucor teammates, thank you. I'm proud for you all. Well done. Now let's make 2021 our safest year ever. Joining me today on the call are the members of the Nucor's executive team including Jim Frias, our Chief Financial Officer, Dave Sumoski, Chief Operating Officer, Al Behr, responsible for Plate and Structural Products, Craig Feldman, responsible for Raw Materials, Doug Jellison, responsible for DJJ and Logistics, Greg Murphy, responsible for Business Services and General Counsel; Ray Napolitan, responsible for Engineered Bar Products, Rex Query, responsible for Sheet and Tubular Products, MaryEmily Slate, responsible for our Commercial Strategy, Chad Utermark, responsible for Fabricated Construction Products and Dan Needham, who will be joining our Charlotte team on February 1st and be responsible for Bar Products. At the end of the year we know several changes to our executive team. Dave Sumoski was promoted to Chief Operating Officer. Dave has been with Nucor since 1995 and has led multiple steel product groups and strategic initiatives, most recently combining our domestic rebar steel mill and fabrication businesses. Dave is uniquely positioned to help Nucor continue to build lasting partnerships while executing our enterprise-wide strategy. MaryEmily Slate has taken on a new role as Executive Vice President for Commercial. This is the first time we've had an EVP level leader in this world with Nucor. The purpose is to enhance our ability to focus on our key markets and to better connect with our customers. Meeting the future needs of our customers, while maintaining and maximizing the benefits of the broad and diversified offering of Nucor will be a vital function of MaryEmily's team as we move forward. I'd also like to welcome for new team members to our executive team, Rex Query, Doug Jellison, Greg Murphy and Dan Needham. Each of these executive management team promotions will enhance our ability to serve our customers and our shareholders. Business conditions remain strong in the fourth quarter with improving pricing and healthy volumes across our diverse product portfolio. A particular note, utilization rates of their sheet mills and plat mills continued her sharp upturn in the fourth quarter. While we were pleased with our operating performance and cash flow for the period, our earnings were impacted by non-cash charges, which were more than offset by tax benefits recognized in the quarter. The most substantial of these were related to our agreement exit from the diverter for Nucor joint-venture and the impairment charge writing down the value of our Castrip operations, both of which impacted our steel mill segment earnings. The capabilities of our new state-of-the-art cold mill and the generation free galvanizing line we have under construction a Nucor Arkansas have diminished our utilization of Castrip. We do plan on continuing to fully support existing customers, as well as the technology to further improve Castrip's product offerings for Castrip licensees. The non-cash charge that we recorded upon exiting the Duferdofin Nucor joint venture was actually more than offset by a tax benefit related to our investment. So it did not hurt our net income for the quarter. Jim Frias will elaborate more in his opening remarks. Turning now to comment on 2020 as a whole. The year ended up much stronger than anyone would have anticipated when the pandemic first took hold of our global economy in March of last year. Our team and our business model proved to be incredibly resilient, and we were able to take advantage of this stronger than expected recovery because of the Nucor team doing an excellent job keeping our mills running reliably and safely throughout the volatility that characterize 2020. This allowed us to reliably fulfill our customer's requirements. Our focus remains on continuing to deliver a differentiated value proposition to meet and exceed our customers needs. Looking at specific end use markets, construction remained strong throughout the pandemic, and automotive was quick to recover in the second half of the year after shutting down in the second quarter. Together, these two markets accounted for nearly two-thirds of steel consumption. We are aware of certain leading indicators signaling a downturn in non-res construction activity. But so far, we don't see much evidence of that. Our company is well positioned in attractive sub-segments of the non res construction market. There are areas of strength, most notably warehouses and data centers that may not be fully reflected in the ABI and other indicators. We have worked to build relationships in these sub segments that are bright spots, ensuring that we are providing the best solutions across steelmaking and steel products to serve those customers. We are cautiously optimistic that a significant infrastructure spending bill will be passed by Congress and signed by the new President this year. After years of talk, this must get done. We are still driving on roads and bridges designed and built during the Eisenhower administration. This is not sustainable. We would not be surprised if a funding bill focused in part on green infrastructure spending, including renewable power generation and transmission. Nucor is well-positioned to meet our country's needs of environmentally friendly steel and steel products. With roughly 50% of our steel use in the construction sector, there is arguably no company more poised and ready to meet the needs of rebuilding our country, the Nucor. In the automotive market, we believe demand should continue its rebound. We think 2021 light vehicle production in North America will be around 16 million vehicles. Having wrapped up the fall contract season, we feel good about our prospects for continuing share gains in the automotive market. The investments we've made at our sheet mills in Arkansas and in Kentucky to expand our production of value added products are paying off. Demand from the oil and gas sector continues to be weak, even as oil prices have been rising along with many other commodities. I think that significant continued improvement in the market is going to depend on how quickly vaccines can get out to a large number of people, and how long it takes for commuting and travel patterns to approach pre pandemic levels. Strong demand growth from the renewable energy sector has partially offset the weakness in oil. Our sales to the renewable power sector have been very strong this year with steelmaking segment orders related to these markets growing by double digits compared to the 2019 total. The renewable power market is one Nucor is targeting. And many of our steel and steel products are essential to its continued build out. We rely primarily on recycled steel to make these products and they themselves are 100% recyclable. This fact positions us well as a supplier of choice. here as we see sustainability in product transparency becoming a more important factor in product sourcing decisions in the renewable power sector and in most other end use markets. We're also seeing signs that other unused markets will rebound from this past year is to press levels including heavy duty trucks, heavy equipment in agriculture. Turning to our strategic growth projects we continue to make excellent progress on them during the fourth quarter. Our new rebar micro mill in Frostproof, Florida started up operations on schedule in December. Congratulations to the entire Nucor steel Florida team for getting this new steel mill up and running on time and for doing it safely. This past October, we celebrated the groundbreaking of our new steel plate mill in Kentucky. Our Nucor Steel Brandenburg team has done a great job keeping the project on schedule throughout this year, and we are moving at full speed to bring the state-of-the-art plate mill to market during the fourth quarter of 2022. We're also making great progress on our expansion project at our Gallatin sheet mill. The expansion project is expected to start up in the second half of this year. With regard to some of our facilities that are in operation, I'm pleased to report the new pickle galvanizing line and Gallatin had an excellent first full year of operation despite the pandemic shipping 39% more times than we projected when we approve the project. Year one profitability was also ahead of plan. Gallatin's entry into the value added coated sheet market has proven very timely, with the strong flat-rolled market conditions that emerged in the second half of 2020 and are continuing into Q1 2021. We have experienced very strong customer acceptance of Gallatin's coated product as we further develop target markets that include automotive, solar, tubing, roll forming, grain storage, culvert and cooling towers. Also the new coal mill and Nucor Steel Arkansas has gotten off to a strong start with shipments almost 30% ahead of our initial plan for the mill. Strong customer acceptance rates following trials were conducted throughout 2020, mean that the new mill is now booked out for this year at 85% of its nameplate capacity for contract customers. We are looking forward to running our first prime coil off our new Gen 3 galv line at Arkansas later this year. This is slightly behind our original schedule, due primarily to the slowdown in capital expenditures we instituted around the beginning of the pandemic. Our new rebar micro mill in Sedalia has also exceeded our expectations. The team there generated a solid operating profit during the most recent quarter, and its full rebar product continues to be well received by our customers. At our galvanizing line joint venture with JFE in Mexico, we are backup running after a government mandated shutdown and beginning to ship coils to automotive customers. Congratulations to the team there. Our Kankakee, Illinois bar mill completed commissioning of its new MBQ rolling mill in December. While the timeline of this project was slightly extended due to COVID related disruptions. Customer acceptance of the new products has been extremely strong. We expect to achieve positive cash flow from this investment in Q1. Construction on upgrades to Kankakee melt shop, including a new caster ladle stir station will begin in earnest in February, with final commissioning of this equipment expected in Q4 of this year. This investment will significantly improve the energy efficiency of the Kankakee mill. Before I turn the call over to Jim, let me give a shout out to our teammates a Louisiana DRI operations. As many of you are aware we took some downtime at Louisiana in 2019 and have invested approximately $200 million to enhance operational reliability there. It is really paid off. In 2020 the Nucor Steel Louisiana team set new records for production, shipping, and operating hours. Most importantly, our team there accomplished all of this while operating safely for more than 450 consecutive days. Later this quarter, we will finish our work improving Louisiana's ore yard. With that let me turn the call over to Jim to provide more details about our financial performance and outlook for the first part of 2021. Jim?
Jim Frias: Thanks, Leon. Fourth quarter earnings of $1.30 per diluted share exceeded our guidance range of $1.15 to $1.20 per diluted share. As detailed in our news release, results for the just completed quarter included a number of non-operational items that were not included in our guidance. After tax effects, again, for the items not included in our guidance, the total impact was produced net income by just under $34 million, or approximately $0.11 per diluted share. Earnings significantly exceed our guidance as the pace of margin expansion at our steel mills surpassed our expectations. Conditions improved for many of our businesses throughout the quarter and now are the strongest they've been in some years. As Leon mentioned, and as detailed in our news release, we are able to claim tax deductions related to our investment in Duferdofin Nucor joint venture that more than offset the related loss on assets we recorded in the fourth quarter. Cash provided by operating activities for full year 2020 was $2.7 billion. Nucor's free cash flow or cash provided by operations minus capital spending was $1.2 billion in 2020, comfortably exceeding cash dividends paid to the stockholders of $492 million. Over the last three years, Nucor has generated $3.9 billion of free cash flow, even as we reinvested $4 billion in our businesses. As mentioned on previous calls, we have intensified our focus on maintaining appropriate working capital levels and reducing the asset base we require to generate strong profitability. I am happy to report that even as steel market demand and pricing has rebounded strongly in recent months, our tons of raw material inventory are actually down by more than 6% from the prior year end. At the close of the fourth quarter, our cash, short term investments and restricted cash holdings totaled just under $3.2 billion. Nucor's liquidity also includes our undrawn $1.5 billion unsecured revolving credit facility, which matures in April of 2023. Total long term debt including the current portion was approximately $5.3 billion. Gross debt as a percent of total capital was 32%, while net debt represented 13% of total capital. The flexibility provided by Nucor's low cost operating model and financial strength continues to be a critical underpinning to our company's ability to grow long term earnings power and return capital to our shareholders. Dividends and share repurchases total $531 million, or 74% of net income during 2020. And with the dividend increase announced in December, Nucor has increased its base dividend for 48 consecutive years, every year since we first began paying dividends in 1973. Speaking of growing long term earnings power, let me take a moment to provide a brief rundown on where we stand on some of our organic growth projects. Three projects started operations in 2019. A new specialty called rolling mill at our Arkansas sheet mill, a rolling mill modernization at our Ohio rebar mill and a hot band galvanizing line at our Kentucky sheet mill. Another four projects started production during 2020. Our rebar micro mill in Missouri, our Illinois merchant bar rolling mill, our joint venture sheet steel galvanizing line in Mexico and our Florida rebar micro mill. The remaining three projects are the expansion and modernization of our Kentucky sheet mill, our generation 3 flexible galvanizing line at our Arkansas sheet mill and our Kentucky plate mill. At the close of 2020, remaining capital expenditures for these three are approximately $1.9 billion. With the Kentucky plate mill project representing about three-fourths of that total. We expect that Nucor's total capital spending for 2021 will be in the area of $2 billion. Approximately 80% of the 2021 spending is to improve product capabilities and reduced costs. Turning to the outlook for the first quarter of 2021. As Leon indicated, we are encouraged by a number of positive factors impacting our markets. We expect earnings in the first quarter of 2021 to be significantly higher than our reported results for the fourth quarter of 2020. The expected performance of the steel mills segment in the first quarter of 2021 is the primary driver for this increase as our sheet, plate, bar and structural mills are all forecasting increased profitability. Our downstream steel product segments performance in the first quarter is expected to decrease compared to the fourth quarter of 2020, due to typical seasonal patterns, and some margin compression due to a lag between rising steel input costs and increased selling prices. The raw material segments performance in the first quarter is expected to be significantly improved due to higher raw materials selling prices. Thank you for your interest in our company. Leon?
Leon Topalian: Thank you, Jim. And we'd be now happy to take any of your questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Seth Rosenfeld with Exane BNP.
Seth Rosenfeld: Good afternoon. Thank you for taking our questions today. If I can kick off with a question specifically on your raw material segments, obviously very strong performance this last quarter. I'm wondering if you can touch on a little bit your own expectations for scrap prices as we look ahead to 2021? That would have been a very strong last couple of months. What are your expectations going into the February settlement and longer term, given the growth and domestic EAF capacity, where you see domestic scrap prices settling out? And as a follow up, please, you touched on earlier some of the work within your DRI business in Louisiana which easily paying off? Can you give us a little bit of color and the level of profitability of Louisiana and your broader DRI business? And how should we think about that progressing going forward? Is there more upside? Or do we already have a pretty strong level at Q4? Thank you.
Leon Topalian: Okay. I'll just start with the back half of your question regarding the DRI and while we don't specifically call out the individual divisions, profitability. What I would tell you is the results that I shared with you in my opening remarks regarding Louisiana's performance and reliability, their uptime. Again, their incredible safety records and the things that they've continue to be able to improve and their reliability is going to yield stronger financial performance. What I'd like to do now is maybe invite Craig Feldman. Craig to share just a little bit of backdrop around scrap. What we're seeing some of the metallic spread as well as how we think about prime scrap as we move forward. So Craig, why don't you jump in, and then I'll maybe close at the end.
Craig Feldman: Surely. Thank you. And Seth, thanks for the question. Yes, the question about longer term view on scrap, our crystal ball probably isn't significantly better than yours. Let me just share a few thoughts with you though. We certainly do anticipate a near term correction in the month of February, which I guess, is not all that surprising, given the nearly $200 increase that we've seen in the last 90 days or so. In fact, we've already seen some international scrap prices, notably turkey fall here, just really in the recent days, so we certainly see some moderate corrections from the January levels, especially on obsolete grades, which are highly elastic. And workflows have really been pretty good recently. Prime scrap grades are also likely to moderate a bit. But we don't believe will fall as much as the obsolete grades. February pricing would likely be down $30 to $50 a ton, depending on both the grade and the region. But we'd certainly characterize that as a -- I would say, a fairly normal correction, given the size of the recent run up in prices. And just a couple of other things. And Leon alluded to this in his opening remarks. But there's some other factors at work here too. The overall commodity price environment is pretty darn solid. And I don't think Leon mentioned this, but a relatively weak dollar really helped put a floor under that and really sustain the general commodity environment. The other thing I would point to, there are some seasonal factors. The month of February is typically a pretty weak month for scrap pricing overall. And meanwhile, March typically sees higher prices. So -- and we track this pretty closely with some heat maps, as you might imagine. So, historically, scrap prices in the calendar month of February, are either flat or down around 70% of the time, and then we're going back to the last 20 years or so. And March is the exact opposite of that, with prices rising or flat around 70% of the time. So, we've certainly could see some exceptions to those trends. But we really believe that, this year we'll follow that more typical seasonal pattern, if you will. So bottom line, our near term view on scrap pricing has some downward pressure, and is likely to stabilize after that. And if I may, one final comment on this. Just an observation with regard to scrap and steel pricing. And this may not be fully apparent or intuitive to most folks. But scrap prices, follow steel pricing, and not the other way around. Again, steel demand and steel pricing lead scrap demand and scrap price. And as Jim and Leon alluded to in their opening remarks, our view is pretty darn optimistic right now. So hopefully that gives you some color.
Seth Rosenfeld: Great. Thank you very much.
Leon Topalian: Thanks, Seth.
Operator: [Operator Instructions] Moving on, we'll go to David Gagliano with BMO Capital Markets.
David Gagliano: Hi, thanks for taking my question. I just have really this one. I was wondering if you could talk a little bit more about the spending plans beyond, they're $2 billion in 2021, given the timing of the remaining capital spend on Kentucky plate. I know, it's early, but can you just give us a bit of a sense as to what your thoughts are with regards to 2022 on the capital fund side?
Jim Frias: Yes. This is Jim, I'll take a shot at that. I had some things in my opening comments regarding capital spending. And I'm trying to find that to make sure I repeated in exactly the same fashion. When we think about 2021 spending, roughly $900 million, that will be on the plate mill, roughly $250 million of it is going to be on Gallatin. And roughly another $100 billion could be galvanizing line in Arkansas. And we have about $1.9 billion over almost three projects going forward. So you can then extrapolate on that. What's left beyond 2021 and those projects at 1.9 minus to 900 and 250 [Indiscernible]. And that tells you what's going to carry over roughly into 2022. Beyond that, we're always working on possible capital projects across our portfolio. And it's way premature for us talking about what new major capital projects could be at first. But there's always ideas that are being worked on across the company.
David Gagliano: Okay. Can you remind us again, is maintenance CapEx again is what do you thing?
Jim Frias: There's no exact number, but we think it's been in the range of $400 million to $500 million. And it's never pure maintenance. As we said in our comments, a significant portion of this year's CapEx dropped to 80% can be categorized as creating some incremental value by reducing costs to broadening our value add product mix.
David Gagliano: Okay. Well, thank you.
Operator: And moving on, we'll go to Timna Tanners with Bank of America Securities.
Timna Tanners: Hey, good afternoon, everyone.
Leon Topalian: Good afternoon, Timna. How are you?
Timna Tanners: Good. Thanks. I wanted to ask a little bit more to understand the flat-rolled segments, volume and pricing and not to dwell on the past, but just looking at your average realized selling price in the fourth quarter rose like 80 bucks a ton. And the spot increase that we calculated at least was about three times that. I'm just trying to figure out how to do the right calculation in terms of the average realized selling price for you guys on flat-rolled, especially as we see this really sharp increase into the first quarter, trying to think about how to calculate that. And then along those same lines, what -- if you can remind us, what is the capability of the flat-rolled segment? Because when I looked at your volume shy of $2.3 million, that was less than the first quarter. And given how high prices were, I would have expected volumes to be maxed out. So can you just run through what the capability is? And how to think about prices? That'd be great.
Leon Topalian: Sure. I'll start off. And MaryEmily, if you got some comments regarding kind of how we look forward in terms of the contract versus spot market. But look, at the end of the day to now I'll begin kind of little broader. And so as we think about the supply demand picture, the demand side, really again, all product groups are incredibly strong. We're at or near historic levels of backlogs in almost every product group that we have, including our downstream groups as well, order activity and entry rates remain very robust and continue to be strong. And I think a further strengthening sign of that or supportive that, as we talk to our customers, they're experiencing very saying similar things with their customers in credibly strong backlogs, order entry rates, again at the customer level. So as we look forward and I think, Jim framed as well as in his opening remarks, as we look at our sheet groups , but really all product groups that in particular, if we look at Q1, we see a significant improvement as we move forward. MaryEmily, do you want to share just a little bit about how we're looking at 2021. And now that we've completed the contract here.
MaryEmily Slate: Absolutely. Thank you for the question, Timna. In fourth quarter we actually were still working on contracts for 2020. And as we've talked before, there is a lag in contract pricing. It's usually done on a monthly or quarterly basis. And we're really well positioned. You saw that increase in fourth quarter, but we're really well positioned going into 2021 with a healthy contract verses spot mix. And I think one area to know is that almost 20% of our sheet capacity is dedicated to internal downstream customers, including vulcraft building systems, and Nucor tubular. And each of these businesses are growing, doing very well projecting very good years. And our backlog right now is at close to his historic high, and it's about 50% better than this time last year. And so as I stated, that 20% is for internal downstream customers, and then we also have about 50% to 55% of our capacity locked up with external customer contracts. The pricing follows the market on a monthly or quarterly basis. Does that answer your question?
Timna Tanners: I was on mute. So I guess, but I mean, in the first quarter, you also had strong internal sales from what I could tell, in fact, if anything your tubular products were higher in the first quarter than the second quarter. So I just trying to figure that out. And I understand that you have contract business, and I don't expect you to detail it, and tell your customers on the line all that. But if you only achieved a third of the spot price increase in the last quarter, then that would have suggest that you have contract tons that are absorbing more than half of your quarter-a-quarter move just back in the envelope. So I'm just wondering, do we expect like the similar contract percentages of fixed versus variable or lagged variable into the future? Is anything changed in your contract structure? And is it possible to regain the volumes you did in the first quarter or the fourth quarter a better run rate?
Leon Topalian: Timna, real quick, first off, I think it's important to remember, these contracts are not fixed price contracts. There are things that slowly been. And so, again, that exact write-down as you described on the back of the envelope we're not bring that on this call. But at the end of the day there's a lag effect on the way up and as well on the way down. And so, our expectation, as we move forward, yes, there is obviously, more opportunity, because the price increases that we've passed and certainly the movements that you've seen in the indices like CRU, we think are going to move forward and stay strong. In terms of the volume our steel mills are operating at a incredibly high utilization rates at capacity. Until that, we see continuing and again, I think their production levels will stay very high.
Jim Frias: Yes. Timna, some details on capacity utilization. We marked our capacity at 2,942,000 tons for the fourth quarter, and we actually produced 2,902,000 tons. So we completed 98.65% utilization rates. Now, the reason the shipments are so different compared to the first quarter, we may have had some extra inventory at the end of 2019, that helps us boost our shipments. We do have more downstream processing now with more galvanizing lines. So the WIP inventory in our system is probably a little higher. When we think about the WIP that's sitting at Galvan that would have just gone straight to have been shipped in the past. So there's other factors that come into play in terms of timing of the shipment versus production. But we would expect to have a strong shipping of the first quarter as well as a strong production month.
Timna Tanners: Okay. Thank you. I have room for another one. I just wanted to get your thoughts on the -- like higher level philosophical view on the scrap market. So I know, we talked about the near term dynamic, which makes a lot of sense. But if you listen to steel dynamics call, they sounded pretty relaxed about scrap availability, even with all the new capacity consuming more scrap over the next couple years. And if you listen to Cliffs [ph], they'll tell you that you know, there's going to be a run on scraps. So kind of wanted to hear where Nucor stands in terms of your perspective. And clearly, you have the DRI capability that will enable you to be more vertically integrated in the iron units. But do you think that it's going to be an issue? Do you think that it makes sense to expand your position just would be great to hear your thoughts?
Leon Topalian: Yes. Maybe I'll kick us off. And Jim or Craig jump in as far as you get some other points. As we look out for the long term, as the mix continues to shift from integrated mills to EAFs and getting about 70% and we are still making capacity today in the United States, the EAF sector is the main on prime scrap is going to stay very tight. That's going to increase. And as we've pointed out on previous calls, because we need more prime, the automakers are going to make more units, because the steel mills needs that scrap. So the high metallic, the quality of metallics side of things and controlling our own downstream input to that. For us, it's really very strategic. And so, I don't think we're at the point where we're going to increase that. But the things that we're doing every day to continue to maximize that investments in Louisiana and continuing some of those investments in the ore yard to increase the efficiency and increase the yield and throughputs there will be areas of that. But again, as we move forward, I do see is more EAF based mills come online, and the demand as we move up the value chain even for ourselves in automotive is going to put continued pressure on the prime market. Craig, anything you'd like to add to that?
Craig Feldman: Yes. Actually I do. And you touched on some of it. But, Timna, you're right. There's a lot of dialogue around this topic. And it's something that we've been thinking about for, frankly for years. And we do agree with the assertion that high quality metallics is as Leon just said, will become tighter going forward. Even obsolete grades, we do envision that getting tighter with a conversion from integrated to EAF. And maybe what I'd like to talk about more is what we've been doing and preparing for in that regard and how -- what we've been doing with our overall raw material strategy, if I could. And I guess the key to that strategy really is around our flexibility and optionality. And it's really around three key components that give us access to and influence over our total raw material needs. And first of all, and we talked about this a lot with regard to the DRI plants. But our capability, there is roughly 4 million tons of high quality material. And those plants, the two DRI plants really can reach all of our DRI consuming mills on the river or the East Coast in a very economical or freight logical way. And as Leon alluded to, the Louisiana team really has made tremendous progress to improve the production and the reliability. And meanwhile, and sometimes this gets overlooked as the new iron team in Trinidad, just keeps chugging along. And they've got a long history of low cost production, and really world class quality and reliability in the way that produced the DRI. And the second leg of this is really the David Joseph company or DJJ recycling operations with 4 million to 5 million tones a year of ferrous processing capacity. And they're just really well positioned to supply our own mills. Most of these DJJ locations in there's about 65 sites in total, are focused on producing scrap again, within the freight logical range of our own mills. And we continue to obviously opportunistically add capacity to the to the DJJ processing platform, as we did in the last 18 months or so with a handful of tuck-in acquisitions, including a couple of shredders. And finally, the third leg of the overall strategy is, again, the DJJ brokerage and trading team really gives excellent coverage of both domestic and international markets from a -- on a third party supply basis, which we think the big advantage. And I know, the DJJ brokerage team, prides itself on knowing its supply base extremely well, and has access to scrap substitutes not only in the U.S. but globally. And for example, the team did a really nice job here recently with the tightness in supply, which I do believe, Timna, to back to your question is symptomatic of what we're going to see in the future. But they've been able to capitalize on both some, I would say, long standing relationships with key supply partners, but also went to some areas of the world that we haven't been to in a long time. And they've done a really good job with that, to secure all the material we need, despite those supply constraints. So to sum it up, we certainly envision that the metallics market could and probably will tighten up. But the flexibility and the options that we have from our own DRI scrap processing assets of around 8 million or 9 million tons a year in total, along with the third party relationships. That gives us the access and influence just on the material that we have, our own assets dedicated to give us about one third of our total metallics demand covered. So, that 8 million to 9 million tons really represents about a third. So, yes, feel very confident, very comfortable on our ability to economically and efficiently secure metallics needs going forward. Will it be -- will there be the normal market gyrations of course, but I feel like our strategies are well established and we're in a good spot to navigate it. Well, hopefully it gives you a little extra color.
Timna Tanners: Yes. I know, for sure. Thanks, guys.
Operator: [Operator Instructions] Moving on, we'll go to Carlos de Alba with Morgan Stanley.
Carlos de Alba : Thank you very much. Good afternoon. So two questions, if I may. Just first one, how do you see the stability in your downstream businesses throughout the year? Do you expect the bottom in the first quarter, you highlighted, obviously a sequential decline there. But you can see the bottom in the coming months and then improvements as we move into the second quarter? And then the other question is regarding working capital. Again, any comments that you can provide us there in terms of the evolution of working capitals throughout the year? That will be useful. Thank you.
Leon Topalian: Thanks for the question, Carlos. And let me begin with the first one. Chad, even I might ask you to just chime in as well, if I don't cover all this. But at the end of the day, 2020 was -- as I mentioned in my opening remarks, certainly very challenging year. And at the same time, Carlos Nucor and our downstream businesses, we had three product groups that set records for profitability. And so, we ended up in a very, very strong position. And again, as we move forward, we'll get order entry rates and backlogs, we're at where we are at historic highs. And so while we expect to see some compression there, the recent price increases on metal margins are actually going to continue to grow. And most businesses, again, certainly the downstream, side will face a little bit of compression. But again, it's coming off again, in most of our downstream near record profitability standpoint. So it again, we do see it staying very strong as we move forward. To your point around working capital, that's something that we as a team, I'm really proud of our executive leadership team. At the onset of this pandemic in February last year we met. And we put some things in place with our leadership across all of the mills and operation to be incredibly disciplined in terms of very, very deliberate steps to manage our working inventory and scrap with in finished goods. And that discipline and that -- well, that discipline is going to continue, and it has continued. And so, we're not long as we think about the product, which we're not long with scrap, we're not long in width, and we're not long in the steel mills providing to our downstream product group. So we feel very good about the true cycle profitability of all our businesses. Chad, any comments you'd like to add on the product segment?
Chad Utermark: Yes, thanks, Leon, and Carlos, thanks for that question. Yes. I want to echo what was said by Leon and Jim about the forward look that we see a non-res construction and for most of our downstream businesses. And we are very excited as we enter 2021. And I know there are some sources out there that are indicating non-res may not be as strong as perhaps we say it is or even looking into the future. But we derive our business outlook from numerous sources, but we do put a heavy emphasis on our customer input and our internal order entry data points. And we're excited as many of our downstream businesses have very strong backlogs and as in some cases, we have a record backlogs, all time record backlogs as we head into 2021. And also we monitor our recent quoting activity. And I can tell you in a lot of our businesses over the last four, five, six, seven weeks, we've seen activity rise. I want to repeat something Jim Frias has said in his opening comments, and while we respect and do monitor the industry trade group data, we offer that some of the rising non risk construction arenas may not be fully reflected in that architectural data. So our strong relationships with key customers, our breadth of product that we offer to the market. I guess, I would just summarize by saying, we're excited as we head into 2021. There will be some compression in some of our downstream businesses with rising steel costs, but those prices are being passed on in the marketplace are being accepted and we look forward to the coming months. Thanks Leon.
Jim Frias: Carlos, this is Jim Frias. I just wanted two ideas. One, on the site on commercial discipline. Leon touched on how the team got together and was very thoughtful about managing working capital and resolve the crisis. We also were very thoughtful about the volatility downward in pricing that we were seeing last summer, and not getting caught up in that and taking too much business out of books at below market pricing. And so that discipline is positioned as well as we go into 2021. Do not have a lot of low priced backlog work through. And so yes, with the extreme movement in steel price and we've seen in the last 90 days, there is some minor compression in downstream business, but it's can be minor. So that's the first point. And then back to your question on working capital. We think volumes of working capital to think about on a tons basis will be similar. Scrap prices will be roughly flat. We think inventory values will be relatively flat. But receivables values will go up, because steel mill pricing on average selling price will be higher in Q1 they weren't Q4. So will you estimate what you think average prices are going up to take that time, the amount of times we ship. And that should be the working capital for one month, because we basically collect receivables in about 30 days. And that's pretty much it. So thank you for the question.
Carlos de Alba : Thank you very much.
Operator: Next, we'll hear from Tyler Kenyon with Cowen & Company.
Tyler Kenyon : Thanks very much. Good afternoon. Just first question here on the wind down of Duferdofin JV. Was there a operating headwinds from that JV in 2020? And was that flowing through the steel mill segment? Just curious as to how large that may has been?
Leon Topalian: So, when you say an operating wind down, I mean, were we're incurring operating losses at the joint venture.
Tyler Kenyon : Correct? And was that flowing g through the steel mill segment?
Leon Topalian: Yes. It was incurring operating losses that were not very material, but they were generating losses, and it was flowing through the steel mill segment.
Tyler Kenyon : Okay. And then just maybe your outlook just for startup costs as we move into the New Year, and maybe in comparison to 2020, which I believe are over 100 million?
Leon Topalian: Yes. We did 28 million in the fourth quarter in both 2019 and 2020, roughly flat, just over 100. We're going to start off with the first quarter preoperative startup being about $42 million. And it's probably going to be on average higher than the last year, it might be in the range of 120. We don't really give a one year outlook. But I would think that that 40 million pace its probably going to be the right range. We're going to have a few areas winding down for both Gallatin and Brandenburg will be ramping up. So we'll get core of the updates as we go. But right now $42 million in Q1. And there's another part of your question I wanted to speak to that. I lost track of it. Does that probably I didn't answer.
Tyler Kenyon : [ph]No. That was -- that's helpful. And I just want to ask one more. I'm sorry, I just wanted to ask one more on the CapEx. So Jim, you said roughly 2 billion for 2021. If I sum all of spend this year, just on the major projects, the plate mill, Gallatin expansion and Galvan and Arkansas, I get about 1.25 billion. And then assuming $400 million or $500 million of maintenance related spend. The difference is a bucket somewhere around 300 million, 350 million. Just curious as to what kind of projects these are? Sounds like it may be additional growth. And maybe how we should be thinking about that bucket moving into 2022?
Jim Frias: One of the projects was -- at our NYS plant, we had a roughing mill that had been in service since the infancy of NYS II which makes the bigger sections. And it had really been reaching its end of useful life, we need to replace it. But when we replaced it, we didn't just replace it with. I didn't have stand to put something in that was more robust, could [Indiscernible].
Unidentified Company Representative: That actually, I think you're doing great, might invite out there. Why don't you just quickly share and share with Tyler the tremendous work that the NYS team has done and bring that project online and really expanding the capability of what ranges they can run? Again, that investment wasn't just maintenance replacements. So I wanted to make a few comments
Jim Frias: Yes. I'm happy to do it. And thanks Alex. I want to make sure we address your question because that was a 2020 project. Were you asking about 2021 or 2020?
Leon Topalian: He was asking about both. He wanted to know what was in the bucket for 2020. And then what's going to be in 2021. So I'll talk about 2021, if you could sort of give them what it was for 2020 and maybe what the projects capabilities are?
Jim Frias: Yep. So that was about $145 million, Alex at our Arkansas B mill and that was just a modernization of one of the rolling mills and it's not -- it's an example of one of the many capital projects we do that don't always get a lot of press, the new stuff, the new mills, for good reason we get a lot of press, but we continually upgrade and add to the capabilities of these mills on a regular basis. So that gave us improvements in quality, certainly, and safety and flexibility and agility, the ability to move between sections more seamlessly. And so I think it's a great example that our mills, and that mills been around for 30 years, it's not a 30 year old mill by any stretch, it's continually upgraded. It's state-of-the-art, and we maintain those facilities to be competitive in the future. So we're excited about that. And I think it will ensure that we maintain our leadership position and compete effectively for a number of more years.
Leon Topalian: Yes. And I would just add, Tyler. There are projects of the similar nature. Next year, we are doing some investing in our process gas business, adding process gas plants at Gallatin and Brandenburg. Those are I think in that $40 million, $50 million range each. And then there's another project that is being worked on that and our team has asked us to keep silence because they're still negotiating some things. But it's in the mid 100 million range, 150 million range kind of a project. And we'll talk more about that in future once some things are finalized in terms of negotiations.
Tyler Kenyon : Thanks very much.
Operator: And next, we'll hear from Alex Hacking with Citi.
Alex Hacking: Yes, good afternoon, and thanks for the call. I have a couple of questions. The first one is just on the cadence of the ramp up, like Gallatin, obviously, with flat-rolled markets, so there's a lot of interest in exactly how much tonnage Gallatin can contribute in the second half of the year. So any color there would appreciate? And then secondly, just following up on Timna's question around metallics. If we go back 12, 18 months ago, there's quite a bit of chat in the marketplace about some of the North American integrated mills might be interested in selling pig iron. Haven't really heard much about that recently. And obviously, some of the structure there has changed on the integrated side. But from where you sit, is that something that seems like it could be possible at some point? And with that help, ease up some of the potential tightness in prime scrap? Thanks.
Jim Frias: Okay. Alex, thanks for the questions. I'll start with the back half your question or the second question around metallics. First, maybe ask Dave Sumoski to address your opening question. As we -- look, the short answer, we look at the domestic supply of pig iron, absolutely. But the caveat is, is at a price competitive points in the marketplace. And so, if those integrators can come back on and produce pig iron at a competitive price, we will absolutely be lining up and purchasing our pig iron domestically. But again, that certainly is a challenge. We'll see what happens. And to your point several of our competitors have talked about restarts and doing just that. And, we'll see how that unfolds as we move forward, But that -- I'm certainly not going to speak to their strategies and executing. But again, it's got to be at a price competitive standpoint and today I'm not sure if they can reach that cost or not. So we know other cover out there, Dave you want to comment on the first part of this question.
Dave Sumoski : Yes, sure. Alex, our Gallatin know what the expansion will be and we'll produce about 3 million tons a year, which is about 1.4 million ton add. And the startup is in the fourth quarter. So it's hard to imagine that there'd be any material tonnage coming out of Gallatin this year, but the startup at the beginning of next year, well, startup at the end of this year goes smoothly, we'll be able to run that rate sometime in the first quarter.
Alex Hacking: Perfect. Thanks so much.
Operator: Next, we'll hear from Chris Terry with Deutsche Bank.
Chris Terry: Hi, Leon, and Jim and team. Thanks for taking my questions. I just had two. I just wanted to flesh out one final thing on the CapEx. I know you talked about this a bit on the call, but just looking at 2020 the gardens [ph] 1.7 billion has been about 1.5 billion. And then 2021, the 2 billion I think is unchanged. Just want to check is that catch up from 2020? Is that now not in play, because that was sort of unallocated project that you're talking about or should we t expect that to then be added back in 2022?
Leon Topalian: Yes. That's a great question, Chris. It's -- when we estimate CapEx we keep those line of interest from business units. And I think that sometimes they get a bit conservative and trying to make sure that they give us the maximum how they're going to spend in any year. And so, that was the reason for the shortfall. And there will be carryover what they didn't spend this year into next year. But I would still say that the same thing goes to for their expectations for 2021. So that's probably going to be carryover at the end of 2021 as well. So I still think that overall spending should be in the range of $2 billion for 2021, even with that carryover effect.
Chris Terry: Okay. So you are going to say what your 22 number expectation is?
Jim Frias: No, I cannot. I cannot know.
Chris Terry: Okay. And just another quick one, maybe for you, Jim. Just the tax rate, the cash tax, and the P&L tax for 2021 and maybe further out, if you can, maybe into 2022?
Jim Frias: Yes. Let's say a normalized tax rate is going to be in the neighborhood of 24%. And for book purposes. But for cash purposes, obviously, we received significant tax benefits this year. We paid very little tax in the first half of the year. And we're going to be seeking refund in the neighborhood of $140 million, when we -- we don't have a final number. We have to be in that range. When we do our tax return in August as a result of the great work our tax team did this year. And I want to share with you folks. Deb Douglas is our International Tax Manager, and she's the one who figured out the opportunity to take advantage of the worker's stock deduction that allowed us to capture so much value. After we made the decision to exit. And then of course, the overall tax team, including all the managers, John Taylor, Amy Cathell, and the others just did a great job of doing all the year-end work that's necessary for us to come up with those figures. But we're going to have cash benefits beyond this year, because of the accelerated depreciation are big projects. And we think that over a three-year period its $535 million. If you give me a minute to look, I think next year's cash benefit, its going to be in the neighborhood of 240. And the year after that when we finalize Gallatin, because that's going to be the or excuse me, Brandenburg. That's going to be the biggest impactor. It's to be north of $330 million cash benefit. But our book rate should be in a normalized range of that 24%, which includes the federal and state rate, assuming there's no tax increase during that time period.
Chris Terry: Thanks, Jim.
Operator: And that does conclude our question and answer session. I'd like to turn it back to Mr. Leon Topalian for any closing comments.
Leon Topalian: Thank you. I'd like to conclude by once again, thanking my Nucor team for your focus and commitment to living our culture as we work through a very challenging year. As you look back and reflect on 2020, allow you to know that you've displayed the very best of the Nucor culture by working safely, being innovative, as we adjusted our operations, relying on teamwork and taking care of our customers and serving each and every one of them. Both a pandemic and the protests for racial justice caused us to rethink how we define safety. We started to think more broadly about how safety means to one another, and how inclusive that is as a team. I'm proud of the steps we took in 2020, to commit ourselves to becoming an even more inclusive and diverse company, where every team member feels this strong sense of belonging and ownership. I've said many times during this pandemic, they will not just emerge from this crisis, will emerge from this crisis a stronger company, not just financially, but also culturally. And I believe we have seen the results that are already showing to be true. Thank you for your interest in our company.
Operator: Thank you. And that does conclude today's conference. We'd like to thank everyone for their participation. You may now disconnect.